Operator: Good day and welcome to the Reinsurance Group of America's Third Quarter 2020 Results Conference Call. Today's call is being recorded. At this time, I would like to introduce Mr. Todd Larson, Senior Executive Vice President and Chief Financial Officer; and Ms. Anna Manning, President and Chief Executive Officer. Please go ahead, Mr. Larson.
Todd Larson: Thank you. Good morning, and welcome to RGA's third quarter 2020 conference call. With me this morning on the call is Anna Manning, RGA's President and Chief Executive Officer; Alain NÃ©emeh, Chief Operating Officer; Leslie Barbi, Chief Investment Officer; Jonathan Porter, Global Chief Risk Officer; and Jeff Hopson, Head of Investor Relations. We will discuss the third quarter results after a quick reminder about forward-looking information and non-GAAP financial measures. Following our prepared remarks, we'll be happy to take your questions.  Some of our comments or answers to your questions may contain forward-looking statements. Actual results could differ materially from expected results. Please refer to the earnings release we issued yesterday for a list of important factors that could cause actual results to differ materially from expected results. Additionally, during the course of this call, information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation, quarterly financial supplement and website for discussion of these terms and reconciliations to GAAP measures. And now, I'll turn the call over to Anna for her comments.
Anna Manning: Thank you, Todd. Good morning, everyone, and thank you for joining our call today. I hope you are all remaining safe and staying healthy. Let me begin by saying that I am extremely proud of the perseverance and commitment that our employees have demonstrated throughout this crisis. Their well-being remains our top priority. Because of their efforts, our global business operations have continued to run smoothly, and we have continued to provide the superior level of support and thought leadership that our clients have come to expect and rely upon. An important part of our purpose is to help support the needs of families throughout the world who are suffering due to an unexpected illness or death of a loved one. Everyone at RGA is extremely proud of the role we play in helping families when they need it most.  Turning to the third quarter results. Last night, we reported adjusted operating EPS of $3.51 which is a very strong performance especially in the context of this global pandemic. This quarter further demonstrated the resilience and strategic value of our global platform. We have an earnings engine that is well diversified by risk and geography that continues to deliver substantial value as we saw this quarter with favorable performance from many of our key segments and businesses, including EMEA, Asia, U.S. Asset-Intensive and a modest profit in Australia.  Included in our consolidated results for the quarter were total global COVID-19 related claim costs estimated at $140 million, which is at the low end of our modelâs expected range, and approximately $30 million of favorable longevity experience. Of the $140 million claim costs, $100 million were in the U.S. individual mortality business, with the remaining $40 million spread amongst our other global businesses. Mortality performance in our U.S. individual business, excluding COVID-19 was better than our expectations this quarter, due to very favorable large claims experience. And outside the U.S., overall performance of our traditional business was better than expected even after including the impact of the pandemic. We will provide additional information on the pandemic later in the call. We completed several capital motivated transactions in the quarter, which while not requiring a significant amount of capital, will contribute to our future fee-based earnings. The transaction pipelines are active overall, and include opportunities in many of our regions, including North America, Europe and Asia. We remain active and at work on transaction opportunities. Our approach to capital deployed during this crisis remains prudent, disciplined, and balanced. In summary, we are very pleased with the overall performance this quarter and with the continuing strength and resilience of our global business. As we look forward, COVID-19 remains both a global health and global economic crisis. And there may be more challenges to come as we move through the winter months. But there are also reasons for some optimism regarding improving treatments, and eventually, vaccines. At RGA we remain focused on protecting our employees, serving our clients and supporting the industry and society. Our strong balance sheet and earnings engine give us confidence that we can manage through the next phase of the pandemic and emerge well positioned to take advantage of future opportunities. We are intent on doing what is necessary to continue to build on our strong track record of financial performance and in creating substantial long-term shareholder value.  Thank you for your interest in RGA. And I hope you all continue to remain safe and well.  Let me now turn it over to Todd to go over the detailed financial results. 
Todd Larson : Thanks, Anna. I will review the financial results, investments and RGA's capital and liquidity position. Beginning with consolidated premiums, we reported premium growth of approximately 1% as we continue to see some temporary slowdown as a result of the impact of the pandemic around the world, as well as a significant anticipated premium reduction in Australia.  The effective tax rate on pre-tax adjusted operating income was 20.4% for the quarter, below the expected range of 23% to 24% due to release of valuation allowances, bases differences in foreign jurisdictions and favorable adjustments from tax returns filed.  Turning to the segment results listed on slides 6 and 7 of the earnings presentation. The U.S. and Latin America Traditional segment earned $22 million pre-tax. This we consider to be a very good result in light of the pandemic. Our individual mortality experience, excluding COVID-19, was favorable. Excess individual mortality claims totaled $60 million, including COVID-19 claims.  Let me provide a little more detail. Approximately 100 million of claims are attributed to COVID-19. The approach used to attribute COVID-19 claims is consistent with that used in the second quarter. We had very favorable large claim experience of approximately $85 million, which helped to offset COVID-19 related claims. As we have discussed with you in the past, volatility is an inherent part of our business, and part of the value proposition of Reinsurance and this volatility goes in both directions.  We also saw an elevated frequency of non-large claims in the quarter. This is consistent with CDC reporting of significant levels of excess deaths in the general population above specifically identified COVID-19 deaths. We believe a portion of which is likely related to COVID-19. Jonathan will provide an update on the pandemic shortly. Also in the U.S. Traditional segment, our individual health and group businesses in total were slightly ahead of our expectations. Our U.S. Asset-Intensive business reported a very good result, benefiting from favorable investments spreads in equity markets. U.S. Capital Solutions reported an increase in adjusted operating income resulting from new business growth.  Moving to Canada, the Traditional segment results reflected modestly unfavorable claims experience primarily due to the impact from COVID-19. Our Financial Solutions segment performed well, reflecting favorable longevity experience in the quarter. In the Europe, Middle East and Africa segment, our Traditional business results reflected unfavorable mortality experience, primarily driven by COVID-19 claims in South Africa and the UK.  EMEAâs Financial Solutions business had a very good quarter, reflecting favorable longevity experience, the majority of which we believe is related to COVID-19.  For our Asia Pacific Traditional business, Asia had a very favorable experience overall in most regions. COVID-19 related impacts were immaterial, reflecting some moderate benefit to our morbidity experience, offset by a moderate negative impact from our mortality experience. Australia had a modest profit as both individual long-term and disability income claims experience was better than projected.  Our Asia Pacific Financial Solutions had another good quarter, benefiting from the growth of business in Asia. The Corporate and Other segment reported pre-tax adjusted operating loss of $37 million, more than the average run rate primarily from lower variable investment income and increased interest expense due to the June 2020 senior debt issuance. Moving on to investments, the non-spread portfolio yield ended the quarter at 3.66%. Variable investment income was below the average run rate, as realizations of alternative investment sales continued to be slower than in previous periods. Our increased cash levels put some downward pressure on yields as did lower new money rates. We believe our portfolio was defensively positioned coming into the crisis. Credit performance continues to benefit from diligent security selection, as well as economic reopening, policy responses and open markets. Our portfolio average quality of A was maintained and credit impairments were modest in the quarter.  As shown on Slide 10 of our presentation materials, our excess capital position at the end of the quarter increased to $1.5 billion, robust level providing flexibility as we move through the winter months. Our strong business performance in the quarter absorbed the impact of COVID-19, funded our organic growth, furthered the dividend and added to our net excess capital position. RGA's leverage ratios remain at comfortable levels following the second quarter senior debt issuance and our liquidity remains strong with cash and cash equivalents at $3.3 billion. Looking forward, we expect to see some level of ongoing COVID-19 impacts that will negatively affect our earnings until this crisis is resolved. However, we continue to view this as manageable and believe that our strong balance sheet, the power of our earnings engine and the benefits of our global diversified franchise, positions us to emerge from the pandemic in good shape to continue to produce attractive returns to our shareholders over time. I will now turn the call over to Jonathan Porter, our Global Chief Risk Officer, who will provide some thoughts and updates on COVID-19.
Jonathan Porter : Thanks, Todd. I'll be reviewing three topics today, our Q3 COVID-19 model, how our Q2 COVID-19 impacts are tracking relative to updated cause of deaths reporting, and our longevity results relative to our model expectations.  Starting first with the prior quarter. Recall that our Q2 COVID-19 claim cost estimates were based on specifically reported COVID-19 claims, adjusted to account for incomplete cause of death reporting as well as incurred but not reported claims. As Q2 cause of death information has continued to complete in Q3, results are tracking very nicely with this method. We've used the same methodology to arrive at the previously mentioned Q3 estimate of $140 million of pre-tax COVID-19 claim costs. Our COVID-19 estimates only include claim costs that we think will ultimately be reported with our COVID-19 cause of death. Turning to the current quarter. We continue to refine our model assumptions and projections based on data from both our own reinsurance book as well as external sources. Our update this quarter resulted in some underlying pluses and minuses. But on balance, there is no change to our claim cost rules of thumb for our major markets. As Anna mentioned, our Q3 COVID-19 excess claim costs were at the lower end of our range this quarter. As a reminder, I will repeat the caveat provided in prior quarters, our model is based on a number of underlying assumptions reflecting our analysis of internal and external data as well as the application of expert judgments, and therefore, our estimates are subject to a range of uncertainty.  I also wanted to provide some insight into our longevity experience this quarter relative to our model expectations. We've previously discussed our estimate of the potential offsetting impact from our longevity business of about 10% of our mortality claims, but with longer reporting delays. Our longevity results in Q3 were approximately $30 million pre-tax better than expected, which is in line with our model expectations. While cause of death information is not reported on our longevity business, we believe most of this experience is COVID-19 related. It is also important to keep in mind that our mortality business and longevity business do not have the same geographic concentration, and therefore, this offset relationship may change depending on country-specific COVID experience. Let me now hand it back to Todd.
Todd Larson : Thank you, Jonathan. We'd now like to open it up for your questions.
Operator: . And our first question today will come from Andrew Kligerman with Credit Suisse.
Andrew Kligerman : So it seems like you've seen a real heat up of these effectively reinsurance of annuity blocks, whether they're fixed annuities, indexed annuities, variable annuities. And I'm curious as to how RGA might play into that environment. Is that an area of interest to you? Or would it be something for Langhorne Re? And yes, that's the question.
Anna Manning : Good morning, Andrew. Yes, we have been participating in those block transactions for a very long time. Our Asset-Intensive business includes both fixed annuities and asset-intensive longevity annuities. And we've also been active in the longevity swap markets around the globe. This isn't new for us. We've been -- we've won our fair share of those transactions, those blocks that come to market. Perhaps I'll ask Alain to comment on what we're seeing in some of the underlying product lines and perhaps in some of the markets, Alain?
Alain NÃ©emeh : Sure, Andrew. Look, generally, I'd say, a healthy pipeline across all of our lines of business, whether it be longevity, Financial Solutions or Asset-Intensive as Anna alluded to. I think in terms of whether RGA or Langhorne Re, both are equipped to do those types of transactions. We typically have a size criteria in which we separate whether it'll go into RGA or Langhorne. But both are able to respond to those needs.
Andrew Kligerman : So do you think that something sizable could be imminent? Is your appetite a little bigger now?
Alain NÃ©emeh : Look, I think imminent is always a difficult word. These transactions tend to be lumpy in and of themselves. Certainly, in this environment, there's potentially a little bit more lumpiness. But we're certainly active with both RGA and Langhorne. Clearly, we haven't closed the transaction yet in Langhorne, but it's not for lack of claims, it's not for lack of opportunity.
Andrew Kligerman : Got it. And then just a follow up. I mean...
Anna Manning : Andrew, maybe I could just add a comment as well. I think we're well-positioned in those markets because -- for a couple of reasons, because we can support almost all the risks that are sitting on the clientsâ balance sheet. So as mentioned earlier, fixed annuities, longevity, mortality, because we take both insurance risks and market risks. We're comfortable doing both. And I think that gives us a lot of flexibility. And then I think we're also well-positioned because of our differentiators. We're a strong, well-rated counterparty. We have a very good reputation for execution certainty. When we say that we're going to do something, we deliver to our clients. And we have very deep client relationships. That well helped us win business in the past. We've been at this for a number of decades. And I expect it will continue to help us win our fair share of these block transactions going forward. Sorry, I didn't mean to cut you off. I think you had a follow-up question.
Andrew Kligerman : Yes. Just quickly on -- thank you for that follow-up. APAC, the mortality was very favorable there. Maybe a little color around that. And whether you feel that Australia can finally at least remain breakeven for the foreseeable future?
Anna Manning : Yes. I'd love to say that we're going to call this a win in Australia. I still think it's too early. I'll ask Alain maybe to provide some comments on what we're seeing there.
Alain NÃ©emeh : Sure. Thanks, Anna. And then maybe I will call it a win in Australia. Just from the perspective, the industry obviously still has work to do to get through its issues. So you're still reading and hearing about some issues in Australia. Certainly, we've been very focused on managing our bottom-line, sometimes at the expense of our top-line. And so you'll see that we have seen premium come down in Australia. We've been certainly very active on portfolio and claims management, and I think we're seeing results from that. It's probably too early to claim that we're going to see this type of pattern continue and continue to improve, but we're still going to stay the course and continue to actively manage that bottom-line. So certainly, very pleased with what we've seen so far and we're going to remain hard at work. In terms of Asia, a good quarter there as well. We've, I think, talked in the past about treaty reporting in Asia being a little bit lumpy. And so we have had good mortality and morbidity experience, but we've also probably been helped a little bit by some of the lumpiness in the reporting on the bottom-line.
Operator: Next, we'll move to Humphrey Lee with Dowling & Partners.
Humphrey Lee : Just about the non-COVID deaths in the U.S. I was wondering if you can provide any additional color in terms of the frequency portion versus the large claims portion, anything specific that you saw in the quarter?
Anna Manning : In respect of the large claim experience, this was a quarter where we saw both the number of large claims was down and the average size of the large claims was down. So both worked in the same direction this quarter. As Todd mentioned in his prepared remarks, short-term volatility inherent part is a part of our business. It goes in both directions, plus and minus. It's good to see it in as a plus direction in this quarter. It does tend to smooth out over time, but it is an important part of the value of Reinsurance. And in respect of the -- part of your question about non-large claim -- or non-large claims on the frequency side, maybe I'll hand it over to Jonathan to talk about what we're seeing out in the CDC reporting and our business.
Jonathan Porter : Yes. Thanks, Anna. So yes, we did -- this quarter, we looked at our claims experience on our smaller-sized policies and the increased frequency. And we do believe that it's consistent with what's being observed in the CDC data that Anna mentioned. So far this year, the CDC has reported about 80,000 excess deaths that are not tagged as COVID-19, more than half of those really coming in Q3. So when we line up those excess deaths and look at a few different metrics of our book of business, the experience we saw come through this quarter is pretty consistent with that. But as Anna mentioned, we'll see volatility in that number as well. So just keep that in mind too.
Humphrey Lee : Okay. Got it. And then as we think about the -- in general, for kind of the morbidity results in the quarter, Asia definitely has some favorable experience there. Like -- and then in the U.S., I believe, individual health and group was kind of favorable as well. As we think about the kind of the different economies being reopened and then at the same time, some of them kind of shutting down again, how should we think about kind of the utilization for some of these kind of health-related products in the fourth quarter?
Anna Manning : Yes. So you made a very good point. Year-to-date, we've had favorable aggregate experience in our global morbidity business. Some of that is likely the result of the slowdowns or the shutdowns, so the slowdowns in people going to get diagnostic testing and then having medical visits. In fact, we saw something similar during the SARS pandemic. People were stay away from hospitals and other medical visits, and our morbidity experience was favorable through that period. So short-term, the impact of this pandemic -- of COVID on morbidity has been favorable. I will point out, though, that longer term, it's possible that we may see some negative health implications from these COVID survivors, these long haulers. Difficult at this point to estimate and somewhat premature because even the medical experts can't say with any certainty whether the health conditions they're seeing will, in fact, be permanent. Obviously, we'll continue to closely track it. But bear in mind, though, that any negative long-term morbidity impacts are likely going to be less material than our mortality impacts, just given the profile of our business, the footprint of our business.
Operator: Next, we'll move to Erik Bass with Autonomous Research.
Erik Bass : A couple of quick follow ups. Just with your excess capital at $1.5 billion, it sounds like from your comments, you feel like you're in a position to put some of that to work if attractive opportunities emerge, particularly for block deals.
Anna Manning : Yes. As I mentioned in my prepared remarks, our capital management through this crisis is really one of being prudent and cautious, but we are active at looking at transactions. And the attractive opportunities are something that we continue to pursue.
Erik Bass : And then on the excess mortality and the CDC data, it sounds like some of this is certainly COVID related. But I guess, do you have any more sense of what's driving this? And is it all related to the pandemic? Or is some of that kind of the trend that we've seen a worsening kind of population mortality and something that could continue post the pandemic?
Anna Manning : Yes. I'll maybe provide some brief comments, and then I'll ask Jonathan to weigh in. It's very hard to separate out the cause of all of those non-COVID-specific excess deaths that are being reported in the population. I don't think it's unreasonable to assume that some of them might be unreported COVID claims. There's a lot of inconsistency in the state-level reporting and the local-level reporting. Some may be indirectly linked to COVID. So think about people who are delaying visiting their doctor or delaying going to hospitals. So although they're being reported as excess non-COVID related, I would be cautious in interpreting that. Jonathan, is there anything else that you'd like to add?
Jonathan Porter : Yes. Maybe I'll just talk about what we might expect to see. So yes, I mean, I agree, it's hard to determine what level of excess deaths will continue in the future. Yes, there definitely seems to be, and you can see this on the graph, I think, that we provided from the CDC, correlation between the level of COVID-denoted deaths and the excess deaths, which I think could lead you to the conclusion that some of these are definitely related to COVID. I think, as Anna said, it's likely in the short-term that we will continue to see, therefore, some excess deaths in U.S. But we are looking at data in other countries, too. So we've seen, specifically, as an example, the UK, excess death has reversed post the large spikes in COVID mortality. So it's not clear, I guess, to what extent these may or may not continue in the future. But based on other countries' information, the things have turned around.
Erik Bass : And then Todd, just quickly, do you have an estimate of how much ongoing impact will be on the top-line from the higher level of mortality claims? I would assume that does have some impact on premiums?
Anna Manning : Sorry, Todd?
Todd Larson : Yes. I think, look, in the near term, we'll see some impact on the top-line as we go through this. I don't have a specific estimate of how much. Maybe that could be sort of hard to estimate.
Operator: Next, we'll go to Ryan Krueger with KBW.
Ryan Krueger : When -- in the COVID sensitivity that you've provided, did that include anything for COVID related but not reported, I guess, excess mortality that you're seeing right now? Or is that just very specific to COVID deaths?
Anna Manning : As Jonathan mentioned in his prepared remarks, it is specific to deaths that are coded as COVID, and we estimate will eventually be coded as COVID, as cause of death complete. It does not include any of the excess frequency of the -- of what's being reported as non-COVID deaths. Jonathan, have I accurately described what we've included in our estimates?
Jonathan Porter : Yes. Yes, that's exactly right, Anna. So as an example, the $100 million that we've attributed to COVID in the U.S. would just be looking at COVID reporting as opposed to including an amount for the excess deaths as well.
Ryan Krueger : I mean is another way to think about it that -- I guess, so far, COVID deaths seems to be trending towards the low end of the sensitivity. We're getting these additional deaths that are not coded as COVID. And -- but maybe when you add those 2 together, it's still somewhere in the range that you've given?
Jonathan Porter : Yes. Yes. I mean I think it depends what you use as the denominator, right, in that calculation and -- well, sorry, not dominator, as the numerator. So if you include what we think excess claims would be coming in because of these excess deaths, but I think we still would be at the low end of the range. But if you only take the higher claims but use only the COVID-reported deaths, then, yes, you might be higher in ranges still within it.
Ryan Krueger : Okay. And then just one last one. Excess capital increased $300 million in the quarter, you had good earnings, obviously, but that seemed like a pretty big increase. Do you have any more color on what drove that?
Todd Larson : Yes. Ryan, it actually increased by $100 million from $1.4 billion to $1.5 billion. It was primarily the earnings generation in the quarter, the net earnings in the quarter, less some deployment in the organic business growth. And then the amount of dividends we paid out.
Operator: And next we'll move to John Barnidge with Piper Sandler.
John Barnidge : Now that you're a couple of quarters into this pandemic, how do you think about growth in the lens of -- are you seeing any signs that there's a secular tailwind emerging for demand in life products; and then on the flip side, primary life insurers wanting to utilize more reinsurance to have less exposure?
Anna Manning : Yes. I think I'll turn that over to Alain to provide some comments on what we're seeing in the various markets around the globe.
Alain NÃ©emeh : Sure. Thanks, Anna. Certainly, I think that you're seeing direct companies talk about higher sales. And I think that's natural to think or to see given the slowdown that we've seen through COVID. I think the big question is, how much of that will persist once we get through what I'll call the catch up. I think there's certainly a hope and a belief in the industry that as digital takes hold, we'll see more sales in the -- in that underserved middle market. People will wake up and realize that they need insurance. So I'd like to think that, that will persist. But I think it's probably a little too early to tell.  In terms of the use of more reinsurance or less, I don't think we're seeing any particular change, yet. There's nothing significant that's happened in terms of any of our reinsurance pools or anything like that over the course of the last few months. And I wouldn't anticipate that anything material would happen. Certainly, seeing quite a bit of activity on the transactional side as companies look and try to manage their own balance sheets, as we talked about earlier. But there's an element of lumpiness to that.
Anna Manning : If I could add just one other thought. As economies recover, we would expect to see growth in some of the credit-based products that would naturally follow. And those are very popular products in many parts of Europe and the UK and would add maybe as travel morbidity comes back in Asia, we would expect sales of protection products in markets like Hong Kong to benefit. And finally, I see the potential for opportunities -- for growth opportunities on the organic side, around designing consumer products that are better suited for this globe and likely low and long interest rate environments, product opportunities for simple and affordable products for the consumer that better align with their needs and with their resources. So I think product innovation will accelerate as a result of the virus. And product innovation is something we're already doing, and we're very good at.
Operator: Next, I'll move to Dan Bergman with Citi.
Dan Bergman : I guess, first, could you provide a little more color on the unfavorable variable investment income in the quarter? Just kind of what were the key drivers and how much impacted Corporate versus the Other segments? And just given markets have been pretty volatile lately. So any updated thoughts on how that portion of investment income might trend into the fourth quarter and ahead?
Anna Manning : Why don't I ask Todd to address your first -- the first part of your question, which is with our experience in the first -- in the fourth -- third quarter, sorry? And then ask Leslie to provide some thoughts on the go-forward environment.
Todd Larson : Yes, Dan. If you look at the third quarter and look at it sort of historical run rate for the variable investment income, which it does bounce around a little bit, we were probably approximately $14 million off pre-tax of that historical, more recent run rate. That helps put it a little bit in context for you. And that was primarily in the Traditional segment and some in Corporate.
Leslie Barbi : Hey, Dan, this is Leslie. So Dan, thank you for that. And so the -- looking at the go forward, what's important to know, I think, is that our underlying asset base that creates unfavorable investment income is still there and is still expected to produce the type of returns that we have over time at that run rate, it's hard to predict in shorter periods of time. But given that our activity in those markets has picked up again overall, I think we'll start to see a trend back towards our run rate, and hopefully, in the fourth quarter.
Todd Larson: And Dan, maybe I'll just add one more point. We feel most of the value is still there. It's more timing. We account for most of these alternative investments on a cost basis. So we only realize -- recognize the income, and we actually realize the sale of the underlying venture or property versus marketing to market each quarter. So we do see most of the value is still there, itâs going to be more of a timing issue.
Dan Bergman : I guess maybe just moving to Corporate. Just given all the recent moving pieces like the debt issuance and the impact of the pandemic on the expense level, things like that, I just wanted to see if you had any update on how we should be thinking about where that corporate loss might trend over the next couple of quarters?
Todd Larson : Yes. We have been indicating, as you know, on average the $25 million loss range, which is still a pretty good place to start, and then maybe add in. Since weâve raised the proceeds back in June, we haven't fully invested those longer term. So there is a little bit of a drag here on the -- from the interest expense on the debt. So it's going to be probably a little bit elevated the next couple of quarters or so, and then we'll provide you with better, more up-to-date guidance as we do every year in the early part of the next year.
Operator: And next, we hear from Brian Meredith with UBS.
Michael Ward : This is Mike Ward on for Brian. So I appreciate the commentary about the potential for deploying capital into some block transactions going forward. But I was just curious, with your stock trading at about 20% discount to book value currently, just wondering if there are certain hurdles we need to cross with respect to COVID mortality or even the economy before you might consider resuming some of the repurchases?
Anna Manning : Yes. So as you know, we halted our share buyback program in the second quarter. We'd like to see increased clarity. We'd like to see a reduction in the level of uncertainty on the virus front and on the economic front. Let's get through the next quarter or two, through the winter months. We'll remain focused on maintaining our financial strength and flexibility through that period. And we'll address share buybacks as part of our capital management strategy. That's the framework we'll use to make decisions. We'll look at the specific opportunities; we'll look at returns; other potential uses of our capital, including the opportunities in the pipeline, dividends, share buybacks. Our framework, I think, over time, has resulted in a very good balance between deploying back into the business and then returning it to shareholders through dividends and share buybacks. And we'll continue to use that strategy and that framework going forward. But as I said, we'd like to see the uncertainty of reduction -- and a material reduction in the uncertainty and clarity as to an end to this crisis.
Michael Ward : That's really helpful. And then just a quick one on operating expenses or consolidated G&A. If I'm recalling correctly, I think lower expenses last quarter contributed about $0.50 to the quarter. This quarter, maybe it looks like it was a little bit around half of that. So just wondering if you could comment at all on your expectations going forward. Have there been opportunities you've taken maybe to keep some of those expense savings ongoing?
Anna Manning : Todd, will you please...
Todd Larson : Sure. Yes. What you saw in the second quarter was, given the impact of COVID, et cetera, we did have some material true-ups to incentive comp, both short-term and long-term programs. And then saw some savings on travel and entertainment. What we saw this quarter was more related to travel and entertainment savings and some savings on bringing on some new employees and some maybe delayed project activity and that type of thing. And I think it's probably reasonable to assume that as we go through the next couple of quarters or so, that certainly the travel and entertainment expenses will continue to stay at lower levels given -- nobody is really traveling, et cetera. So I think we'll continue to see some savings, but it won't be as material as what you saw in the second quarter. And it's probably more similar to what we saw in this quarter.
Anna Manning : And maybe longer term, it's not unreasonable to expect that some of those travel and entertainment costs will become permanent savings. I also think we're learning a lot in this virtual working environment, and we might see some improving cost footprint around our real estate. We're looking at all elements of our operating model. And I would expect that what we're seeing, some of that will come back, but other parts will remain permanent savings.
Todd Larson : Yes. And maybe -- in this quarter, too, just to size -- I would size the sort of savings that, at least the way we look at it was more in, let's say, the $15 million to -- $15 million or so range. I'm not sure what number you had quoted for the quarter, but I'd size it more around that $15 million plus or minus.
Operator: And that will conclude the question-and-answer session. At this time, I would like to turn the call back over to Mr. Larson for any additional or closing remarks.
Todd Larson : Okay. Thank you. Well, thank you, everyone, for your continued support and interest in RGA, and we'll conclude the call. Thank you very much.
Operator: And that will conclude today's call. We thank you for your participation.